Operator: Good afternoon. My name is Alice and I will be your conference operator today. At this time, I would like to welcome everyone to the LivePerson Fourth Quarter 2012 Earnings Conference Call. All lines have been placed on-mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to your host for today, Mr. Dan Murphy, Chief Financial Officer and to Mr. Robert LoCascio, Chairman and Chief Executive Officer. Sir, you may begin your conference.
Dan Murphy: Thanks Alice. Before we begin, I would like to remind listeners that during this conference call, comments that we make regarding LivePerson that are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause such statements to differ materially from the actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change overtime and we undertake no obligation to inform you if they do. Results that we report today should not be considered as an indication of future performance. Changes in economic, business, competitive, technological, regulatory, and other factors could cause LivePerson’s actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time-to-time by LivePerson with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures in talking about the company’s financial performance. We report our GAAP results, as well as provide a reconciliation of these non-GAAP measures to GAAP financial measures in our earnings release. You can obtain a copy of our earnings release by visiting the Investor Relations’ section of our website. Now, I would like to turn the call over to LivePerson’s Chief Executive Officer, Robert LoCascio.
Robert LoCascio: Thanks Dan and thanks everyone for joining us today. During the fourth quarter, we remained focused on executing our overall strategic plan for the year and I am pleased to report we continue to see a strong trajectory in bookings growth and a number of deals signed while exceeding our topline projections for the quarter. During the fourth quarter our B2B revenues were $38.8 million, 18% higher than last year’s revenues of $32.9 million. We also posted our third straight quarter of record breaking bookings. Fourth quarter bookings came in at $8.7 million which compares to $6.3 million from same period last year and compares to the third quarter’s $8.1 million. We also continue to see strong uptick surrounding new products. New product pipeline represents 22% of overall bookings which compares to 17% in each of the past two quarters. We saw the mix of bookings between existing and new normalize a bit during the quarter, as we focused on expanding some of our larger global accounts. We signed a 170 plus deals during the fourth quarter which was consistent with the third quarter and ahead of last year’s 123 deals. 2012 was about positioning the business for long-term growth with the introduction of several new engagement products and developing a go-to-market strategy to deliver them. The results were very strong bookings and we now have over 600 customers using more than one LivePerson product. We went through several development cycles with each of the products and we came out of the year with a lot of insights and learnings. With LP Marketer alone we had over 25 used cases expanding far beyond our initial use case of being a simple online couponing tool as our customers integrated more diverse functions such as video, surveys and social widgets into their overall engagement strategies. Our number one goal during 2012 was what we called Plus One, where we wanted all of our customers to have more than one product. During 2013, we will continue to focus on this goal as we roll-out our LiveEngage platform. LiveEngage will bring all the products under one integrated interface including chat, content, video, voice, and intelligence and really widen the engagement possibilities. Over the next few months, we will start to place less focus on each individual product and more on the overall use of a platform and its broader engagement capabilities. The roadmap for 2013 includes, adding proactive customer connection functionality within the platform, to ease on-boarding and reduce friction, making the platform more intuitive to use, will also allow us to better leverage our PS in short, Professional Services and customer facing resources. With the integration of our enhanced predictive targeting capabilities came from the Amadesa acquisition, we're also getting ready to launch predictive targeting 2.0 on the platform. With its shimmering capabilities, customers will be able to leverage PT.2.0 across different lines of business and improve targeting capabilities through chat as well as content, video and voice as well as through the enterprise, all the way down to the small business lines. By the mid-year, we expect to have about 4,000 of our small business customers’ move down to the platform, experiencing increased functionality such as on the time segmenting capabilities. During 2013, we will also be building proactive capabilities in to our mobile offering, which we’ll feed into the intelligence we have now. Mobile chat has become an increasingly important component of our customers overall engagement strategies and we even have a customer in UK that currently is having over 200,000 mobile chats a month, which is more than 20% of the total chat volume. If you remember in 2012, we acquired a company called Look.io, which is now focused on developing mobile engagement products. The next goal in 2013 is how we deliver our mission of info connections to our customers and really over the past 18 months we have been very internally focused on delivering the value of being in order and helping others in our mission creating the info connection really between ourselves as employees and we are now ready to expose our values on a day-to-day basis to our customers. And the goal is to have all of our customers to understand what is like to have meaningfully connection relationships of us and then how we can provide that through our platform and allow them to provide that to their customers. More often we are going to be building some functionality into our LiveEngage platform that will allow us to deliver that mission on a day-to-day basis which I think will give us a lot more scale. And our third goal is continuation on going global. Our global expansion has become a large part of our focus and early in the quarter, we began exploring opportunities of several non echo speaking markets with Japan, Germany and France being among the key target markets for us. We also added senior leadership to help drive our channel business and we are in the process of bringing our office in the Netherlands. With the launch of LiveEngage we will also be rolling out a global developer platform which allows some greater flexibility and an opportunity to expand our internal development globally and our partner development around the world. Last quarter, we announced the acquisition of our Australian reseller partner ENGAGE which gives us a greater exposure to the fast growing APAC market and we are working hard to strengthen our foothold in the region. We recently went live with SMS chat for one of the largest mobile companies in Australia; added WestJet a major regional airline as a new customer and expanded some key relationships in the region with major companies like (inaudible) UBank and Westpac. We made a lot of investments in people, process and technology over the past 18 months as we deliver our platform for intelligent engagement. We ended 2012 with just over 700 employees increasing our net headcount by about 30%. We went through a period of rapid product development during that time, we put a lot of resources into the R&D department and we build out the LiveEngage platform. In 2013, we will continue to staff in areas of product, sales and marketing, but we feel we have a lot capacity from last year’s hires that need to come up to speed in terms of being fully productive. So this year, we will be hiring at a lower rate than we did last year. We have a solid base of employee to deliver on the strategic goal of delivering the LiveEngage platform and expanding globally and delivering on our mission of meaningful direction. So this year will be a little bit different of our hiring plan than last year. And I am really excited about the roll-out of the LiveEngage platform. It’s something we have been looking forward to for a while and it’s really a way for us to create a much more strategic partnership with our customers as they start looking at their businesses and thinking about how they are going to engage their customers in the digital space; it’s becoming apparent that we have a greater voice with them, because we have ways in which they can touch people mobile, social, online through chat, video, voice and that’s giving us a lot more, I think lot more to grab at the table. So 2013 is a place I think we are going to make significant progress in delivering on the strategic plan than we perhaps the two and half years ago with our core values, delivering our mission and the LiveEngage platform. And with that, I would like to turn the call over to Dan who will like to review the numbers in greater detail? Dan.
Dan Murphy: Thanks Rob. 2012 was a busy year for LivePerson. As an organization, we affected a lot of change that will be important given our long-term growth plans. During the year, we added headcount, transformed our selling and go-to-market strategies, furthered our global expansion plans and completed three acquisitions. Most importantly, we made significant progress towards the delivery of the LiveEngage platform which will continue to be a focus for 2013. Fourth quarter B2B revenue was $38.8 million, an 18% increase as compared to the prior year quarter and a 7% sequential increase as compared to the third quarter of 2012. Total revenue exceeded guidance, increasing 7% sequentially to $42.5 million and 16% growth as compared to the prior year. B2B revenue for the full year was $142.3 million, a 20% increase from 2011. Total revenue for the full year was $157.4 million, an 18% increase from 2011. Revenue from consumer operations for the fourth quarter was $3.7 million which is up 4% compared to both the third quarter and the same period last year. Full year consumer revenues were up 4% to $15.1 million. EBITDA per share for the fourth quarter of 2012 was $0.14 as compared to $0.17 per share in the fourth quarter of 2011 and at the upper end of our guidance range for the quarter. Fourth quarter GAAP earnings per share was $0.03 compared to $0.07 in the fourth quarter of 2011. Adjusted net income per share was $0.08 compared to $0.10 in the fourth quarter of 2011. Both metrics were at the midpoint of our guidance range for the quarter. EBITDA per share was $0.51 as compared to $0.62 in 2011. Adjusted net income came in at $0.31 as compared to $0.36 in 2011 and GAAP EPS of $0.11 compared to $0.22 in 2011. Bookings continue to turn higher reaching $8.7 million in fourth quarter which is 38% higher than the fourth quarter of 2011 and continued our positive turn throughout 2012. LivePerson defines the bookings as new contractual commitment of new or existing mid market and enterprise customers that excludes non-recurring revenue. This metric generally represents contracts who are committed to current subscription fees and does not capture usage or performance based contracts. As Rob mentioned, new products represented 22% of bookings during the quarter which compares to the prior two quarters’ 17%. As of the end of the quarter, we had approximately 72 customers using LP Marketer, approximately 17 customers using LP Insights, 300 plus customers using (inaudible) and approximately 400 customers using our APIs. Our small business group’s revenue grew by 2% in the fourth quarter when compared to the third quarter of 2012 and grew 14% over full year 2011. As Rob mentioned earlier, we currently have about 1,000 small business customers on our LiveEngage platform. Average deal size for all deals was 49,000. The average deal size for new customers was 31,000; the average deal size for existing customers signing up for an upsell or expanded business was 54,000. Similar to our bookings metrics, this metric generally represents contracts with committed to current subscription fees and does not capture usage for performance based contracts. Customer attrition for enterprise and mid-market account averaged 0.9% during the fourth quarter which compares to 1.2% in the third quarter. Small business attrition rates averaged 2.6% which was consistent with prior quarter. Pay-for-Performance generated approximately 15% of total enterprise revenue and 9% of total revenue consistent with the third quarter. Revenue coming from outside of US was approximately 25% of total revenue with UK representing a large concentration outside of the US. The revenue breakdown by industry verticals was consistent with prior quarters. Telecommunications made up approximately 34%, financial services 23%, retail approximately 14%, technology at 11% and other at 18% for the quarter. In terms of our scope of our customers, at the end of fourth quarter of 2012, we had 39 customers above 500k in annualized spend, up one from third quarter and we had 15 customer spend in more than 2 million in annualized spend at the end of the fourth quarter of 2012 which is up three from the third quarter. This continued opportunity with our larger accounts to grow organically and build while more strategic relationships. Fourth quarter gross margins came in an anticipated at 76% which compares to 78% in the fourth quarter of 2011 and 77% in the third quarter of 2012. In Q4, we had full quarter of amortization for the Look.io acquisition and we began to amortize the ENGAGE acquisition midway through Q4. We anticipate the amortization of intangibles from Amadesa acquisition due to the midway through the first quarter of 2013. We ended the year with a cash balance or approximately $103 million which compares to $93 million at the end of 2011. We had $11.2 million of capital expenditure for the year related to service, computers and the rollout of office space. Fourth quarter accounts receivable were $23.8 million. Our DSO metric for the first quarter of 2012 was 52 days in line with the third quarter. As discussed in prior calls, we are comfortable with DSO in the range of 50 days to 55 days. Our full year tax rate was 41%. Now, I would like to discuss the financial expectations for the first quarter of 2013. As in 2012, the guidance reflects the expectation of the cost of current litigation and current international expansion plans as well as [deal] amortization in related to the acquisitions that were completed in 2012. Revenue of $42 million to $43 million, adjusted EBITDA of $0.11 to $0.13 per share, adjusted net income per share of $0.06 to $0.08, GAAP EPS of $0.01 to $0.03 and fully diluted share count approximately 58 million shares. The full year guidance is also reflective of the expectation of current litigation related expenses, current international expansion plans, as well as the amortization of intangibles from the acquisitions completed in 2012. Revenue of $181 million to 186 million, adjusted EBITDA of $0.52 to $0.55 per share, adjusted net income per share of $0.30 to $0.33, GAAP EPS of $0.06 to $0.09 and a fully diluted share count of approximately 60 million. Other full year 2013 assumptions include amortization of intangibles of approximately 5 million, stock compensation expense of approximately $30 million, depreciation of approximately $10 million and effective tax rate of approximately 37%, cash tax rate of approximately 37%, capital expenditure of approximately $12 million. We expect gross margin on GAAP basis to be approximately 75% due to the amortization of Look.io, Amadesa and ENGAGE acquisitions to cost of goods sold. As a reminder, our cost of goods sold is sensitive of foreign currency fluctuation. Furthermore, as a percent of revenue for the year, we anticipate sales and marketing to be approximately 35%, G&A approximately 18% and R&D to be approximately 19%. In 2013, we are continuing our evolution from a single product to a multi-product open into an integrated platform. We are continuing to invest in the business and expect 2013 will be important year to innovate and automate the developments of the last two years in order to rollout our LiveEngage platform. Our expectation is that the underlying B2B business (inaudible) continues to grow at 20% plus range in 2013 and the longer term. PFP performance remains solid and the model continues to be in the track offering to certain segments of our customers. We'll continue to be focused on opportunity over the long-term. That covers all the operational revenue highlights, and I ask the operator can we join the call. We are happy to take any questions from folks participating, operator?
Operator: (Operator Instructions) Your first question comes from the line of Nathan Schneiderman with Roth Capital.
Nathan Schneiderman - Roth Capital: I wanted to start out with a few questions about your biggest customer and I was hoping you could share with us the revenue contribution from that customer in 2012, how that compared with 2011 and what you are expecting from this customer in 2013?
Dan Murphy: So our largest customer, we have a strategic relationship with our largest customer and from 2011 to 2012 the customer has grown from a revenue perspective. We don't disclose the actual number for that specific customer, but it has grown year-over-year.
Nathan Schneiderman - Roth Capital: Do you expect further growth in 2013, and if there is a contract renewal associated with that could you share with us the timing of that or any risk you see associated with this customer.
Dan Murphy: With respect to customers continue to grow in 2013. We don't give about exact dates of renewals or timing of renewals, but they are a strategic partner of ours and we are continuing to work with them and we expect to continue to work with them in 2013.
Nathan Schneiderman - Roth Capital: And then one question for you related to G&A and just with the sequential increase its pretty heavy in Q4, and I just wasn't sure to what extent this may have been affected by the litigation expense if you could share that and then also within your guidance for 2013 just what is your expectation for litigation costs and how does that compare with 2012 litigation. And just to clarify that you are not pulling that out of the adjusted net income EPS estimate to be clear on that.
Dan Murphy: The answer to the last question, we are not pulling it out of adjusted net income. So from a litigation perspective, as we talked about throughout 2012, we've had litigation deal across the international expansion and as you know we also completed an acquisition in the fourth quarter of 2012. So the impact of G&A was inclusive of litigation, some of the international expansion Rob talked about, the opening of the Netherlands office and the litigation as well as the deal cost. We had scooped out that that number would be 5 million for the year in that bucket and it was 5 million for the year in that bucket. As we look forward to 2013, obviously we don't guide for deal costs but from addition perspective our numbers are inclusive of litigation and the unfortunate reality is that litigation is becoming more prevalent in all technology companies, and so we are currently involved in two activities and we will continue to have litigation (inaudible) P&L in 2013. But we are not giving out specific numbers about (inaudible).
Nathan Schneiderman - Roth Capital: But is your assumption that litigation cost is up meaningfully in 2013 versus 2012, that's it for my questions. Thank you.
Dan Murphy: Our assumption for litigation is that it’s baked into our 2013 guidance and as for the two current litigations that we have in place now, that’s it.
Operator: Your next question comes from the line of Shyam Patil with Raymond James & Associates.
Shyam Patil - Raymond James: Dan for 2012 is there anyway to break out the B2B growth if you axe out the PFP revenue.
Dan Murphy: There is. I don't have it at hand. But the overall PFP for the quarter grew about 4% for the full year, year-over-year, 2012 over 2011.
Shyam Patil - Raymond James: And remind me on the large customer, aren't they also a large PFP customer.
Dan Murphy: Yes, they are.
Shyam Patil - Raymond James: And then for 2013, can you talk a little bit about how you are thinking about the sales force structure and any comp changes in your emphasis on new customer growth and the platform and option as well?
Dan Murphy: So, we made investment in the sales organization through 2012. We're up to approximately two quarter carrying ahead. As we move in to 2013, our goal is to make them as productive and as efficient as possible and as Rob well alluded to. We're not expecting the same type of headcount growth in 2013 that we had in 2012. Nothing specific to talk about from our comp perspective that I am ready to share on the phone today. We will continue to focus on driving adoption engagement of the LivePerson LiveEngage platform and the sales guys are being incentive to drive that adoption throughout 2013.
Shyam Patil - Raymond James: Great and then my last question. How should we think about the gross margins for the year?
Dan Murphy: We talked about the overall gross margins being about 75%. As you may know, the deals that we did between Amadesa, Look.io and Engage, there is amortization that is running across the goods sold. So we expect 75% gross margin on the business, but I do want to remind you that it is flexible to foreign currency fluctuation since we have a good chunk of operations in customer service throughout the globe.
Operator: And your next question comes from Michael Nemeroff with Credit Suisse.
Unidentified Analyst: This is [Carl Channing] in for Michael Nemeroff. Thanks for taking the question. I was wondering if you can give us an update as to the lengthening of the implementations cycle that you just talked in the last quarter. If you have seen a return to normal or do they remain extended?
Robert LoCascio: They remain like they have been in the three months range or so, so they are kind of consistent right now. They are not getting any better not getting worse, so we are focused on delivering the platform so no real change.
Unidentified Analyst: Sure and I guess to build on that, to the extent that wondering if you could talk about the timing of the rollout for the LiveEngage platform to your enterprise clients, and how much conservatism are you begging to share guidance or telling for the potential the extension of the implementations cycles to new clients once the platform rolls out?
Dan Murphy: The majority of the focus of the platform level would be in small business with market segments during the year and then once we get pass those pieces then we will move into the enterprise customers. The enterprise customers also have a lot more strategic account management and there are a lot different they serve so they won’t be until potentially the end of the year. But focus now just came in mid market and small business so that’s where we can get real volume and that’s where we can get real usage on the different products and then obviously the larger customers need customer implementations and learning’s and training so it’s not as much focal point as the mid market. (Inaudible) kept to 4,000 midway through the year get about 4,000 of the small business customers up and going. So we are up to about a 1,000 right now. So we keep rolling out, as your new customers in those segments you are going to be on ENGAGE platform, so you don’t get to use the yield product anymore you automatically go on LiveEngage.
Operator: Your next question comes from Brian Schwartz with Oppenheimer.
Brian Schwartz - Oppenheimer: Dan I have a couple of financial questions from you, and then I want to have Rob on a strategic questions. So on the financial question, did I hear right you Dan that you believe the underlying growth here in this upcoming year for the B2B business is about 20% here. I know we won't see that because of the delay on the revenue recognition, but is that the right momentum that you guys are thinking that that segment of the business could potentially exit the year and continue on that pace in the out year?
Dan Murphy: So Brian yes, we expect it to grow approximately 20% excluding the PFP portion of the businesses. A question came a little bit earlier, the growth on the PFP business was about 4% year-over-year. It’s still an important piece to us and we will continue to focus on 2013, but the B2B, PFP we expect to be approaching to 20% plus range.
Brian Schwartz - Oppenheimer: Dan one other follow-up. Just wanted to get an update on the Engage acquisition, just wondered how that business performed. I guess you only half order of it, but wondering if they were able to contribute any revenue here to the business and then how the integration is coming on the back off into the LivePerson, how that is progressing?
Dan Murphy: We completed the acquisition in the fourth quarter and it did contribute some revenue, I would call it minor contribution of revenue. Ss far as integration is concerned, we are focusing on the integration and the back of the side in 2013 and we had a good relationship already with ENGAGE, because they were partners, so it was not a lot to do on the back office side specifically around contracting, invoice and since we were so tightly coupled with them as with our engagement.
Brian Schwartz - Oppenheimer: And then Rob just a strategic question to kind of ask you here, just about the space in general and specifically related to digital marketing analytics space. We've been doing quite a bit of survey work here at the start of the year and the demand is quite robust out there, at least it’s coming in our survey work we are spending on, our marketing analytics. In addition to that we have seen Oracle now recently become acquisitive here in the space grabbing Eloqua. There was some chatter that some of those other larger CRM companies were potentially looking to bid for Eloqua too. So my question really is around the space, marketing analytics space; how you think things could shake out. Do you think that there is a chance we could see a domino effect here in this space where these larger CRM software companies start to become more acquisitive on the heels of Oracle and if that happens how do you think your business can really fair against some of those very large software companies? Thanks.
Robert LoCascio: There are a couple of things, one is there definitely is a shift going on which is if I go at the, if you are a buyer, the marketer, and the enterprise now needs more onsite weapons to convert where there's a real challenge right now using search and media to drive traffic. So when you look at spending even in the core search engine that’s kind of slowed or they are flat and so advertisers now or the marketers are turning and saying, okay, we got all this traffic coming to our website. Another interesting statistic is 50% of the traffic that shows up from search, from page search will bounce off the first page, so often a landing page. So figure out half of the budget is wasted with one click. So the marketers are now saying, look there's a lot of ability here to optimize and convert onsite customers and so, A, I think the space for onsite, the tools are going to start to heat up because the marketers need more tools to do onsite, because they have lost the ability to drive a lot of new traffic. So that's one big piece. I think as who is going to be players in it, you know, I think when the large guys like Oracle buy someone, I actually think its not in there sort of their DNA to sell the marketers, its not on their DNA to sell the digital, you know, heads of businesses, they sell primarily to technology and I think it was Gartner who put out a great report that said that CMO now is becoming more important in the business than the CIO. So I think that's a big shift for them to be involved. Ultimately, I think where the war is won is one providing intelligence and the real-time capabilities to engage across multiple channels and that's where I think where we are delivering right now and especially in intelligence layer. And to say get someone to chat, get someone to video or voice or a piece of content, so I think its going to heat up and I feel good that we are in the middle of it and so it should be a pretty robust space to share.
Operator: Your next question comes from Richard Fetyko with Janney Capital.
Richard Fetyko - Janney Capital: So the revenue guidance for 2013 seems conservative considering the strong bookings you have seen in the last few quarters and the record level of bookings and also considering the acquisition of ENGAGE, so I was curious in which areas perhaps within the revenue composition do you feel like you have less visibility perhaps, were you being more conservative, or more cautious; it sounds like the PFP is something that obviously is more difficult to predict or anything else that would you still are holding back on? And then secondly, regarding to the 2013 EBITDA margins that your guidance implies of about 17% at the midpoint, which is below the 18% in 2012, also below the 19% levels in the last two quarters, which seems in contrasts with your plans to slow hiring relative to 2012, so again just curious why would the margins come down relatively to 2012 in the last two quarters?
Dan Murphy: So from a revenue perspective, we obviously talked a little bit about the consumer business and minimal growth coming out of consumer business. We talked a little bit about PFP, which is a little bit harder, as you said to identify. We're comfortable with where the guidance is. Our focus is on rolling out and adoption of the platform throughout 2013. Made a lot of investments in the sales organization and we continue to make some investments in the product organization. So from the revenue perspective, we're comfortable with where the guidance is. And as far as from a margin perspective, our goal is, throughout 2013, its pivotal year, bringing our products together, driving up the platform and pushing adoption. You know, as far as the bookings are concerned, we have strong bookings. As we talked about a little bit in the third quarter, and talked about here in the fourth quarter, our time to live is a little bit extended and our focus is on the platform and trying to make that process as frictionless as possible. We adopt on-boarding process with less friction as possible.
Robert LoCascio: The majority of the expenses belong to today, we did a lot of headcount last year at the end of the year, so all that salary is hitting out although we are going to decrease new heads probably by about 50% than we did last year, but we have a lot of those people flowing through; now its full size into this year.
Richard Fetyko - Janney Capital: And then lastly a more strategic question, on the LiveEngage rollout; it sounds like most of the impact will be felt in the small business segment and then the enterprise segment will rollout perhaps or start rolling out at the end of 2013, so probably won’t benefit until 2014. So with LiveEngage in 2013 with the small business customer what are some of the benefits that you expect to see whether it’s increase in products for customers, I guess there is no really implementation cycles, I don’t believe with the small business customers, so there is probably minimum impact there. But I assume that may be the implementation processes will be easier and faster on the larger enterprise side in 2014?
Robert LoCascio : Yeah, well, one benefit, so if I look at down in the mid markets, both the market in small business will rollout too primarily, one is their ability to get the new products are inquisitive, so they can just get a new product and not have to get a different login or start a different contract and all that also attrition. So if you look at small business attrition, we are focused on right now and we think by delivering the platform we can stave off some of that attrition which is, like it’s a huge opportunity for us. So that’s in the small business mid market, their ability to kind of grow quicker. And on the enterprise side though, although they may not be specifically on the platform, they benefits to the things we are rolling out like predictive technology. The thing to point out we are getting from Amadesa that will make the automation of whether to create rules, we don't have to create rules, we can automated all that through using the predicated model that we go from Amadesa. So there is a benefit to some of the underlying technologies that are rolled out in the platform and they are actually, right now we are using the (inaudible) 2.0 in the current chat application and we have been testing it, and seeing good results. So we can roll it out in the current application too. So some of the stuff is going to be rolled out behind the scenes that will make getting line here.
Operator: Your next question comes from Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee - Craig-Hallum: Just a couple left here, just back to the implementation cycle for a second. I just want to make to sure I understand, I mean when you talked about implementation of last cycle, last quarter you talked about best practices and some coding as kind of the two channels to address the implementation cycle elongation, in my understanding you right now, your point to LiveEngage as the catalyst to really streamline those implementation cycles are just maybe a little clarification there?
Robert LoCascio: Yeah, so on the enterprise side, we look under the covers of LiveEngage part of it is the predicated model and that will automate one of the big business rules, and all the rules we have build around specific used cases on enterprise customers. So the technology is rolling on the platform that we can use outside of the platform, and so that some of the stuff that will be delivering and that some of the stuff actually we are testing right now to speed up the implementation cycle, so that is specifically around that. On mid-market and enterprise, I mean mid-market is small business, yeah it will be rolled out getting them on LiveEngage and getting them up so they can grow and it’s of a frictionless delivery platform.
Jeff Van Rhee - Craig-Hallum: And maybe this is repetitive, I might have missed a little bit but in terms of the enterprise side and the rollout on Live Engage if that experience is streamlining the implementation cycles, what is assumed in terms of when these implementation cycles go back from that 120 days elevated level back down to the 60 to 90, I mean could you be a little more precise on when you think you are going to be able to accomplish that?
Robert LoCascio: We are focused on it. You know we are, today we are focused on it. So we are not helpless sitting here and saying we can't do anything. In fact some of the things like repeating some of the ways we are doing some of the used cases, the particular technologies so there are things where we've built to help decrease the cycles. So my goal is that we should start seeing that happening over the next couple of months or quarters. So we don't have to wait for LiveEngage that's you know will be (inaudible) that and got some tools that they can use.
Jeff Van Rhee - Craig-Hallum: And then just back to the sort of the broader competitive landscape now that you've got enough experience out there selling both existing and new products any even at the edges if you will the change in the competitors you are seeing and the frequency of seeing them?
Robert LoCascio: It’s still the same sort of competitive set. There's still, there are some small guys out there on LP Marketer side but we haven't really seen any big changes even with like the Oracles and guys who acquired you know some of the chat providers sort of and business as usual for us. I do feel though, so I don't, when we look at the platform and I think the unique benefit for the platform I really think we are going to shape a different way to use even our chat products, you know we pioneer them but I think you will see in the upcoming quarters it’s new ways in which we can integrate what we've done with chat, with all the other engagement solution. So I think its going to change the conversation. It is changing the conversation now with our customers and I think from a competitive set it changes how we can define the space. It’s going to change how our competitors will be viewed. So I think we are just focused on getting the platform out and seeing success from it.
Operator: Your next question comes from Jon Hickman with Ladenburg Thalmann.
Jon Hickman - Ladenburg Thalmann: Dan, could you go back over your guidance for the on a percentage of revenues your operating expenses. You said sales and marketing to be 35% etcetera.
Dan Murphy: Sales and marketing approximately 35%, G&A approximately 18% and R&D approximately 19%.
Jon Hickman - Ladenburg Thalmann: So the sales and marketing, that's a fairly significant chunk, is that all around the LiveEngage implementation in getting that rolled out?
Dan Murphy: Well, we hired quite a few sales people throughout the year. So we got a full year impact of all those people, of all the headcount and then obviously you've got some costs associated with the rollout of the LiveEngage platform.
Jon Hickman - Ladenburg Thalmann: Okay and then as far as the amortization expenses go, you are guiding for $5 million,
Dan Murphy: Thanks correct.
Jon Hickman - Ladenburg Thalmann: And I heard you say that part of the acquisition is going to hit in this first quarter. So could we assume that this first quarter is going to be something like $500,000 to $600,000 and then it ramps to like $1.5 million going forward?
Dan Murphy: Yeah, I'm not giving specific numbers for the amortization by quarter, but look we've had a full quarter in Q4, for ENGAGE we had about half the quarter in Q4 from an amortization perspective and we start to roll out the (inaudible) from an integration perspective. You will get about half a quarter from the Amadesa acquisition.
Operator: Your next question comes from Mark Schappel with Benchmark.
Mark Schappel - Benchmark: Dan, I was wondering if you could speak to your overseas bookings. I believe last quarter your European bookings are held up rather well and I was wondering if you are still seeing that phenomena?
Dan Murphy: From a European perspective, we're doing okay. There are pockets of weakness. As we look towards 2013, we expect the macro economic environment and look at different areas or different regions and we think as opportunities expand on the continent into Germany, France. So we're making an effort to push outside of further outside the UK then today but there are pockets of weakness in Europe but we still think there is a good opportunity.
Mark Schappel - Benchmark: Okay, thanks and Rob, with respect to Apple rollout, have you had the chance to start your US deployment chat?
Robert LoCascio: We're in the middle of it. So we're just still focused on the international portions of it. So that’s where we focused on today.
Operator: Your next question comes from Richard Baldry with Wunderlich Securities.
Richard Baldry - Wunderlich Securities: With revenues from acquisitions really being minimal in the fourth quarter you had one of your best sequential quarters really so on the back of that and some great booking in the second half I am surprised the guidance theoretically at the lower end of Q1 guidance it could be negative sequentially which we have really never seen before, are there any one-time oriented things that we started missing in that picture or a certain way they even talk about what the difference between the upside of the guidance and the bottom side would be what different factors they would have point to that?
Dan Murphy: Nothing specific on a (inaudible) what happened in the fourth quarter I mean, normally fourth quarter is one of our better quarters and we normally have pick up in usually based or to certain extend PFP type deals obviously we have benefited, there were some revenue from ENGAGE acquisition but again it was minimal. So there is nothing specific there to the point to other than usual fourth quarter pick up from the pure revenue perspective.
Operator: Your next question comes from Brad Sills with Maxim Group.
Brad Sills - Maxim Group: Just one on pipeline build, can you comment a little bit on where you are seeing strength potentially in some of the verticals may be standouts between LP Marketer and LP Insights, are there any verticals that those two in the pipeline that you are seeing better traction?
Robert LoCascio: We saw some good traction in the Telco vertical on the Insight products in Q4. Marketers are kind of across the board right now. So it’s even across the board on customer side, so Marketers obviously more widely adopted and Insight is much more for enterprise. So there will be much bigger deals, but the Insight we had a really large Telco deal in Q4 with it. So bigger than some of our normal chat product, chat implementation, so it’s good to see that secondary product can have (inaudible).
Brad Sills - Maxim Group: How much of the pipeline build into then a LiveEngage release has been in the middle of the year. I suspect there are lot of customers kind of wait to see the integration there?
Robert LoCascio: No, we are not putting the overhang on the company like only got to get LiveEngage out of the door and I think the focus point to make things better it incorporate all the products that we have today. So we are just thinking smart about it. If your new customer coming through small business, you are going to go right on the LiveEngage, some customers are still going on [LP] marketer as we speak and insights and so its not everything changing on the LiveEngage roll out, it’s a way to get much more frictionless. Look I think if you look at overall SaaS businesses and if you take a step back we are all growing around 20%, and we all have very similar operating margin and even our margins are stronger than most, but the question here is how do you grow to another rate, and I think we fundamentally have to change the way we are delivering our software, and we talk about being hosted and we are [broad] based, but we grow at certain rates and I think we could grow at a greater rate. So that's the go on LiveEngage, but in between then and now we still have a lot of products to sell that we sold in the current format. So I am not creating an overhang with that, if it doesn't get done, oh my god, we can’t grow, so that's not we are trying to do here.
Operator: Your next question is a follow up from the line of Richard Fetyko with Janney Capital.
Richard Fetyko - Janney Capital: Just a follow-up on the PFP, you guys used to be pretty excited about that and I was wondering if the level of interest from end clients perhaps has diminished, something change in the attractiveness, value proposition of the business model or just the focus of the clients or maybe focus of your sales force perhaps in pitching. I think you also mentioned that you had a couple of wealthy marketer deals that were trailing in the PFP mode and so just curious what's the change?
Dan Murphy: Yeah, I think one is we are trying to experiment with more on a performance based models, because I think they are kind of interesting outside of the core chat and those will start to roll out this quarter. You know we are testing some new models outside of the core. The sales force I think a lot of it’s about focus and a lot of the focus in 2012 was sell more than one product and we have to get these new products outside the door and they did a very good job of that if you look at the bookings number. So I think a lot of it is focused and then the last part is what we see with PFP is good for certain customers like we can see in the Telco space, cable space but it doesn't seem highly applicable to kind of other customers outside of some of these on some of the larger deals. So it just maybe what it is, it maybe really strong for certain customers and certain verticals, but I don't know if it’s a widely adopted model in its current format but performance based models I think should be widely adopted especially on the marketing side where they used to be paid on a cost per acquisition or they are performance base, but on pure PFP we have today it just maybe what it is.
Operator: Your next question comes from Brian Murphy with Sidoti & Company.
Brian Murphy - Sidoti & Company: Dan on the consumer side of the business in 2013, should we look for margins to be in a similar range as 2012.
Dan Murphy: Specifically for the consumer business Brian is that the question?
Brian Murphy - Sidoti & Company: Right.
Dan Murphy: Yes.
Operator: Your next question comes from Mike Latimore with Northland Capital.
Mike Latimore - Northland Capital: So when you roll out LiveEngage to the mid market is that kind of begin to change your sort of pricing model of the mid-market (inaudible).
Dan Murphy: It will be sort of a hybrid model, some things are [fee] based and some things will be more interactive based like LP Marketer, so we will keep very similar where we have now. I think eventually we will have more of an integrated model but for now it will stick where it is.
Mike Latimore - Northland Capital: And then just on the implementation timeframe, just looking back to last quarter I thought you had mentioned that the implementation time went from 60 to 90 days up to four months or so and then on the call you said that it was three months, can you just tell me sort of maybe apples to apples comparison there from what you said last quarter.
Dan Murphy: Yeah, its three to four months, so its four months. I had it wrong in the beginning.
Mike Latimore - Northland Capital: And in terms of bookings, what percent of bookings came from new customers.
Dan Murphy: Some of the bookings from new customers was up to 15% for the quarter.
Mike Latimore - Northland Capital: 25%.
Dan Murphy: No 15% in the quarter.
Mike Latimore - Northland Capital: In terms of the professional services or the group, do you expect that group, the headcount in that group to grow kind of with the overall expense base (inaudible)?
Robert LoCascio: No, we put a lot of headcount in to that. I think we got to focus on (inaudible) and using technology to solve some of the implementation times. So we're not looking to overstaff that right now. If it doesn’t make sense, and I think we have a good plan to like. We already started automating some things and bringing technology to use and we can replicate accounts quickly and we can replicate rules and we can use predictive technology. So this things coming out, versus I overstaff and we got technology that is coming to solve some of the challenges and then I got to do something about staff. So I would rather just not overstep overstaff it right now.
Mike Latimore - Northland Capital: Last one. You gave us data, and (inaudible) millions of chats per month last quarter. Is (inaudible) first quarter too?
Dan Murphy: I don’t have it on my fingertips. I am sorry, Mike. Probably over 18 million now I think. We started 18 million. We reached the quarter.
Operator: And your final question is a follow up from Brian Schwartz with Oppenheimer.
Brian Schwartz - Oppenheimer: I just had a quick question on the financial. I think you guys put in a stock buyback in place after last quarter, and was just wondering if you had bought any shares back during the quarter and then if you still have authorization left in that buybacks by additional shares here moving forward? Thanks.
Dan Murphy: There was a very small number of shares purchased in the fourth quarter and we still have funds allocated for the repurchase.
Operator: And there are no further questions at this time. I would now like to turn it back over to your presenters for any closing remarks.
Robert LoCascio: Thank you everybody for being on the call and we will you see you on the Q1 2013 call have a great night.
Operator: Ladies and gentlemen this does conclude today’s conference call. Thank you for participating. You may now disconnect.